Operator: Welcome to the Cofinimmo Full Year 2025 Results Conference Call. [Operator Instructions]. I will now hand the conference over to your host Jean-Pierre Hanin, CEO of Cofinimmo. Please, sir, go ahead.
Jean-Pierre Hanin: Thank you, Marja, and good morning to everybody. Thank you for joining us for the presentation of Cofinimmo's results for the full year 2025. I'm joined by some of my colleagues, Jean Kotarakos, CFO; Sebastien Berden, COO; and Sophie Grulois, General Counsel and Secretary General. As usual, we'll keep the presentation focused, and we look forward to your questions at the end. I will start with a brief update on the contemplated combination with Aedifica through a public exchange offer that we addressed in our several press release available on our website and published between the 1st of May '25 and the 29th of January 2026. On the 3rd of June 2025, Aedifica and Cofinimmo reached an agreement to unite and create Europe's leading healthcare REIT. The combination of both companies will be realized through a voluntary and conditional exchange offer for all Cofinimmo shares launched by Aedifica. After approval of the Aedifica shareholders in July 2025, the Dutch and German competition authorities also granted their approval. On the 21st of January '26, we were informed that the Belgian Competition Authority granted clearance for the proposed combination, subject to the commitment offered by Aedifica to dispose of healthcare assets located in Belgium over several years with a total value of EUR 300 million. On the 29th of January, the offer prospectus of Aedifica and the response memorandum of Cofinimmo were approved by the FSMA. Subsequently, the initial exchange offer for acceptance by the public was launched on the 30th of January 2026. This offer is currently ongoing, as you all know, and will be closed on the 2nd of March of this year with the announcement of the results in the following days. Beyond this brief update, you will understand that today's discussion will focus on Cofinimmo's stand-alone performance and outlook. Let's begin with the key highlights from the year on Slide 3. Despite a volatile macro environment, 2025 has been a year of strong operational and financial performance for Cofinimmo, which leads to results higher than the outlook. Those good results arise from an excellent operational performance, a gross rental income of EUR 355 million, up nearly 3% like-for-like, a high occupancy rate of 98.4% and long residential length of 13 years on average. The solid financial foundation on which Cofinimmo was built also explained those good results. For example, a very low average cost of debt of 1.5%, one of the lowest level for REITs in Europe and a low debt-to-asset ratio of 42.8%, reflecting disciplined portfolio management. Sustainability has remained a core focus through the year. I'll come back on that later. The net result from core activities, EPRA earnings, rose by 0.7% to EUR 246 million, above guidance. The net result -- group share reached EUR 213 million, up EUR 150 million year-on-year. Healthcare real estate market, up 77% of our EUR 6.1 billion portfolio. The Office segment has largely been recentered on the best area of the Brussels Central Business District. I will comment on our investment and divestment 2025 and on the outlook '26 later in the presentation. All those elements allowed the Board to confirm a gross dividend of EUR 5.20 per share for 2025, payable in 2026. Our company profile and strategy are already well known by all of you, so I suggest to go directly to Slide #8, which also reflects something you know quite well, which is the evolution of over time of a different segment until 2025. Let's move on Slide 10. So last year, we achieved gross investment of EUR 111 million, essentially linked to the execution of development projects in healthcare. We also continued on the right bar chart, our asset rotation mainly in healthcare, ending 2025 with EUR 82 million of divestment. Divestments were all made in line with the latest fair value. Those of distribution network assets were even done above fair value. Slide 11 summarizes for you the active portfolio rotation. Since 2019, we have transformed what was still dominantly a Belgian office player into a leading European healthcare REIT. Over 20 years, the group completed EUR 4.6 billion net investment in healthcare with a clear acceleration since 2018 and a slowdown since 2022. Over the same period, we managed to realize net divestment amounting to almost EUR 1 billion in offices. Slide 12 illustrates the solid portfolio growth since 2018. You can witness our investment pace and the expansion path in healthcare real estate despite change in market conditions. This results in a portfolio growth of 7% on average per year. Over the same period, thanks to our proactive management, we kept our debt-to-asset ratio at an adequate level as shown on the right-hand chart. The outlook for the end of 2025 was around 43%, and we managed to close the year in the lower end of this outlook at 42.8%. On Slide 13, I'd like to comment on the Cofinimmo's share performance on the stock market. Since our last call in July, we gained approximately EUR 700 million in market cap, which associate now between EUR 3.5 billion and EUR 3.6 billion. After several difficult years, European healthcare real estate, in general, performed well on the stock market during the 2025 financial year, and this was even more true for Cofinimmo in particular. Three distinct periods can be identified. Firstly, the adjustment to the 2025 dividend outlook payable in '26 announced in February '25, and that was well received by the market. The share price rose 8% between the close of the trading on the 20th of February and that on the 2nd of April '25 in the context of a boost M&A activity in the U.K. Secondly, the share price also performed well after President Trump announced Liberation Day, climbing 30% between the close of trading on the 2nd of April and the 29th of April '25. It was due to the fact that healthcare real estate is not directly affected by tariffs. Thirdly, the share price accelerated from 30th of April onward, stabilizing at a level reflecting the proposed combination with Aedifica through a public exchange offer. After a new acceleration in the last weeks of the year, the share price reached EUR 79.2 on the last day of 2025, up 18% since the end of April. The total gross returns for shareholders just amount to 45% cumulatively over 2025 and even more than 82% until the 18th of February of this year. Going to sustainability, I'm on Slide 15 to 19, you see that, as usual, sustainability is at the core of our strategy and embedded in all operations. Let me give you some recent examples. Cofinimmo improved its ranking in the Europe's Climate Leaders list issued by the Financial Times, now at the fourth place among 39 European real estate companies. In 2025, we achieved 10 new BREEAM certifications across healthcare and office assets. Two days ago, another good news, we were included in the S&P Global Sustainability Yearbook 2025. We renewed our Great Place to Work certification in Belgium and Germany and the scope of our ISO 14001 certification was extended to Spain, and we received the EPRA Sustainability Gold Award for the 12th consecutive year. I'm on Slide 17 now. As a reminder, our Thirty to the Cube project designed in agreement with science-based targets foresees a 30% reduction in energy intensity of our portfolio by 2030. At the end of 2025, the energy intensity has already been reduced by 26% since 2017. You have, as usual, on Slide 18 and 19, the list of sustainability benchmarks and awards show that our efforts have positioned us as a very credible player in the industry. Now let's turn to the property portfolio. I'm on Slide 21 where you see that our property portfolio maintains a very high occupancy rate of 90.4% at the end of 2025. On the same slide, you see the top 10 list of our tenants. Our tenant base is diversified with the top 10 tenants accounting for 62% of contractual rents. Moving to Slide 22. The overall weighted average residual terms remain quite long at 13 years and even at 14 years for healthcare. Lease maturities are well spread over segments and geographies. On the next slide, we see that over 2025, gross rental yield at 100% occupancy stands at 5.9%, with net yield at 5.6%. Overall, our average net yields are closer to 6% than to 5%. Also, yields are stable across segment, reflecting disciplined asset management and resilient demand. Sebastien Berden, CEO, will now provide insight into our segment.
Sébastien Berden: Thank you, Jean-Pierre, and good morning to all of you. Since 2018, we consolidated our position within the healthcare sector in Europe. And I'm sure you remember, we achieved this through geographic expansion, but also by diversifying in the different types of healthcare buildings. As illustrated on this slide, our portfolio spans 9 countries and includes 8 different types of healthcare assets. Next to nursing home, which still form the majority of our assets. We own acute care and rehab clinics as well as primary care and facilities for disabled people to mention only a few. Moving to Slide 26. This is an overview of our portfolio. The fair value amounts to EUR 4.7 billion and represents 77% of Cofinimmo's overall portfolio. After some selective divestments, we own now 304 assets, representing more than 30,000 beds and supplying 1.9 million square meters to many clients. On Slide 27, we present a little update of the statistics on underlying occupancy that soon became a habit in the market. And the trend in the evolution of underlying occupancy is good. You'll recall that in '23 and '24, we saw a continued improvement in occupancy rates in most countries, while now the same trend continued as the average occupancy in our portfolio stands at 93% in December '25, up 1% from last year. I'm sure you also remember that we compiled the statistics from our observations during visits, and we will reconfirm this figure within a couple of months when we also receive the reports from all our tenants for all our assets, likely somewhere in June or July. On Slide 28, we also like to remind you of the many projects and buildings under construction we managed in '25. And although the list is long, we actually reduced it with 5 projects that were completed in 2025. These were projects in Spain, Belgium and the Netherlands we had in our rolling pipeline in months and are very happy to have now been delivered. And maybe I'd like to draw your attention this time also on a series of investments we did in nursing homes and care facilities for disabled people in Finland. We are very happy with this as we strongly believe in the Finnish market and could agree on a gross rental initial yield of approximately 7%. And as you know, when Cofinimmo invests, Cofinimmo also divests, and this is a summary on our divestments in Slide 29. These were primarily all the nursing homes in France and a series of smaller assets and medical office buildings in the Netherlands. We disposed them in the context of our asset rotation program that we set up since a couple of months now. Let's now move to the Pubstone portfolio and move to Slide 32. This slide is a quick reminder of the portfolio that represents 800 pubs and restaurants for a fair value of EUR 500 million. Slide 33 reports on the activity of the Pubstone team. Well, the activity was one of active divestment in 2025 with a disposed volume of approximately EUR 9 million at excellent conditions since all disposals were sold at prices above fair value. Worth mentioning also is a disposal in our PPP portfolio for a police office near Antwerp. Finally, I'm also asked to provide you with a short update on our office portfolio and propose we move to Slide 35. This portfolio represents a fair value of EUR 925 million with 25 properties supplying 250,000 square meters to many clients. Slide 36 reports on the activity of the Office team and their excellent work and performance again in '25. The team worked further on the optimalization of this portfolio, keeping almost 3/4 of the square meters within the European district of the CBD. This segment where we can observe the highest average rents and where the prime rent was observed. And then finally, on Slide 37, we report on one of our milestones in '25 in this portfolio. It is a reminder of the renovation of an office building in Mechelen City between Brussels and Antwerp, offering 15,000 square meter lease and leased to the Flemish community for 18 years. I will now pass the floor to Jean Kotarakos, our CFO, who will delve within the financial specifics of our company.
Jean Kotarakos: Thank you, Sebastien. Good morning to all. We can go to Slide 39. Here, we observed that our overall portfolio has experienced a like-for-like rental increase of almost 3%, primarily fueled by indexation and new leases. Besides this, the minus 1.1% year-on-year change you can see in gross rental income is mainly due to changes in the scope. We can move to Slide 40, where we see a 0.7% growth of the EPRA earnings compared to 2024 at EUR 246 million, which is higher than the outlook. Please note that this figure excludes nonrecurring effects arising from the proposed combination with Aedifica over the year and the divestment of a finance lease receivable in Q3, which partially offset each other and represent a net expense of EUR 1.4 million recorded as a result of the portfolio below EPRA earnings. The EPRA EPS reached EUR 6.45, which again is higher than the outlook. On Slide 41, we present the IFRS -- net result, sorry, which stands at EUR 213 million at the end of '25 or EUR 6.61 per share. The increase of EUR 150 million compared to '24 is due to the increase in the net result from core activities of EUR 2 million, combined with the net effect of the changes in the fair value of hedging instruments and investment properties, which are both mainly noncash items between the end of '24 and the end of '25. The net result group share per share at the end of December '25 takes into account the issuance of shares in '24 as illustrated by the increased denominator, which increased from 37.5 million to more than 38 million rounded. Drilling down into the portfolio result, we see a figure of minus EUR 23 million compared to minus EUR 152 million at the end of '24. This encompasses the following key elements. The gain or losses on disposal of investment properties and other nonfinancial assets amount to plus EUR 4 million, so it's a gain at the end of '25 compared to minus EUR 16 million at the end of '24. The item changes in the fair value of investment properties is positive at the end of December '25, plus EUR 2 million compared to minus EUR 123 million at the end of '24. Without the initial effect from the changes in the scope, the changes in the fair value of investment properties during the first quarter of '25 were positive, putting an end to 9 consecutive quarters of decrease, and they remain stable in the second, third and fourth quarters. In total, this change was plus 0.1% for the '25 financial year and is mainly due to, firstly, a change of plus 0.1% in the real estate which arises firstly from a negative change in France, mainly due to the increase in registration fees following the Finance Act implemented on the 1st of April by certain local authorities as well as downward revision to inflation forecast in that country. And secondly, a positive change in the Netherlands derives from the combined effect of indexations and the increase in estimated rental value reflecting, sorry, an increase in operators' public financing. All this is combined with a minus 0.8% change in the Office segment, representing only 15% of the consolidated portfolio and partially offset by a change of plus 1.8% in the property of distribution networks. Turning to Slide 42 and looking at the balance sheet. We observed that our total assets are valued at approximately EUR 6.4 billion. Investment properties at fair value represent nearly 95% of this figure. Those assets are financed by roughly EUR 3.5 billion in equity and less than EUR 3 billion in liabilities. The Slide 43 offers an analysis of the evolution of the debt-to-asset ratio from 42.6% at the end of '24 to 42.8% at the end of '25. This stability can be attributed to several factors. First, the dividend '24 paid to our shareholders last May has led to an increase of 3.7%, which was offset by the cash flow produced during the full year '25, generating a decrease of 3.8%, while the net investment of '25 had a global effect of a mere 0.2% positive. On Slide 44, you can see that the EPRA NAV -- sorry, that the NAV is somewhere between EUR 92 and EUR 101 per share, depending on the concept you like most. I will comment on the evolution of the IFRS NAV between '24, where it stood at EUR 92.84 per share versus EUR 92.2 per share at the end of December '25. This very limited decrease of EUR 0.6 per share has 2 drivers. The payment of the dividend '24 in May '25, which still amounted to EUR 6.20 per share, partially offset by the net result for '25 being EUR 5.61 per share as seen on the previous slide. Let's now move to the financial resources at our disposal. In '25, there was no equity raise as there was no optional dividend. I'm on Slide 47. Our S&P credit rating to BBB with a stable outlook was confirmed in March '25 with the report being published in April. It's also worth mentioning that S&P improved its outlook early June '25 following the press release related to the proposed combination with Aedifica and reiterated this outlook early November '25. This means that the combined entity rating could improve by 1 notch after completion of the combination. Cofinimmo continued to proactively manage its financial maturities, as you can see on Slide 48. In this context, Cofinimmo signed new long-term credit lines for EUR 185 million and extended a cumulative amount of EUR 494 million for 1 year. Slide 49 reminds you that Cofinimmo holds EUR 2.6 billion in sustainable financing, comprising various instruments, including a sustainable commercial paper program. We can go to the next slide. And on this slide, Slide 50, we show further the breakdown of the long-term committed financing instruments split between bonds and similar instruments which represent almost 1/3 of the total and bank facilities representing more than 2/3 of the total. This includes a headroom of more than EUR 1 billion of available credit lines after the deduction of the backup of the commercial paper program. The second chart shows the breakdown of the drawn financial debt. Going now on to Slide 51. Due to the passage of time and the weight of the 2 benchmark bonds of EUR 500 million each in our maturity table, the average debt maturity after it remains stable at 4 years in '23 and '24 stands now at 3 years at end of '25. The average cost of debt is still very low at 1.5%, which is one of the lowest across the European REIT landscape and in line with the outlook. On the medium term, we anticipate a gradual increase year-on-year to reach around 2.3% in '28 when the first benchmark bond will mature. Looking at the maturity table on Slide 52, we can see that the operations recently carried out provided that the long-term financial commitments for 2026 are now reduced to EUR 267 million versus EUR 781 million at the beginning of '25 and EUR 695 million at the end of the third quarter '25. Most of the credit lines maturing in '26, representing EUR 207 million out of the mentioned EUR 267 million will not be refinanced earlier since they have been concluded at attractive conditions. And finally, Slide 53 reminds us the high hedging ratio foreseen for the coming years. I will now hand over to Jean-Pierre, who will give you an update on the '26 outlook.
Jean-Pierre Hanin: Thank you, Jean. Thank you for this financial overview. On Slide 55, you will find the breakdown of net investment estimate for 2026. Turning first to the investment column on the left on the slide. We are considering at this stage gross investment for a total of EUR 310 million for 2026 splitted between committed development project, files under DD or being contemplated, other healthcare investment and limited CapEx for offices and distribution networks. Secondly, on the divestment aspect on the right side of the slide, we foresee a total of EUR 110 million, the lion's share of it, 5 already done under due dil and EUR 6 million of other potential divestment file. With this projection, net investment would reach around EUR 200 million at the end of 2026. I will end this presentation with an update on the outlook for this year on a stand-alone basis. Cofinimmo expects, barring major unforeseen event, to achieve a net result from core activities group share per share, which is equivalent to EPRA EPS of EUR 6.35 per share for the 2026 financial year, leaving aside the nonrecurring effect arising from the proposed combination with Aedifica. The debt-to-asset ratio as at the end of '26 would then amount to around 44% compared to 42.8% at the end of last year. We appreciate your attention. We all know that the mindset are more in the direction of the future deal with Aedifica, for which all the team of Cofinimmo are very supportive and already working on it. But of course, we are, as usual, at your disposal for any questions you might have. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Charles Boissier at UBS.
Charles Boissier: Two questions from my side. So first on healthcare tenants and second on Offices. On healthcare tenants, I think back in 2024, the write-downs amounted to EUR 0.5 million. And now you have mentioned some write-down on receivables, termination payments in the order of EUR 6 million offsetting each other. So it's 12x more than 2024. So I just wanted to know about the context behind these write-downs and how much annualized rent does it correspond to? And to what extent this is also in the 2026 guidance as well?
Jean-Pierre Hanin: Thank you, Charles. First, on the numbers, Jean?
Jean Kotarakos: Yes, Charles, I would like just to precise 2 things. The amount offset each other, in fact, so we have a write-down indeed of EUR 6 million on receivable and then indemnities of EUR 6 million, which is a positive amount.
Jean-Pierre Hanin: So it's not an add-on. It's minus -- so -- but anyway, it's -- your second question about the context. So as you know, the global context for operators is seriously improving with some variation regarding the speed depending on the size of the operator on the geography, as also known and reflected in the press, including in the last quarter of '25 and the beginning of this year. Some of them are still finalizing the restructuring of their balance sheet. And I would say, for some of these operators linked to activities that have nothing to do with healthcare, which means that healthcare assets are very sound, and this is still the view that we have for all assets. And basically, this write-downs have been indeed taken, but they might lead to credits in future periods. And that's basically the position we have preferred to take, especially in view of the coming deal for the future. So this is basically the end of, for some of the operators, some difficult periods. Some of them tackle problem at the beginning. Those who had problem outside of the healthcare started to restructure their balance sheet a bit later. But basically, nothing very worrying. As far as Armonia is concerned, you are also reading the press. We have an agreement with them in agreed form, not yet signed, but it's -- as we speak, it could be in the [indiscernible] could be received as we speak. So basically, this is the situation. As far as Offices is concerned, I guess that your question is about the evolution of the occupancy ratio. Again, the Office portfolio with much more tenants is leaving, you have sometimes up, sometimes down, depending at the time where you take the picture. So we have also some divestment again, is it just the portfolio leaving. It's not reflecting a structural deterioration or anything else, but just the portfolio going through its normal life, I would say. And you know that we have seriously upgraded the quality. So now for buyers to buy everything, I think -- not only the upgrade of the quality, but also the refocus on the CBD all assets that make it even as a whole, an attractive portfolio.
Charles Boissier: And so if I hear you, then based on your leasing conversation, you wouldn't necessarily expect 2026 occupancy in offices to significantly deteriorate from here?
Jean-Pierre Hanin: From what I know today, no. And the CBD remains the best area in Brussels. So -- especially, we are in the best part in the Leopold District, as you know. And today, there is no sign that this would deteriorate. I'm telling you this because we all have in mind what happened a few weeks ago with -- there has been some headwinds some years ago with the -- basically working from home. And then since 2 months, some people saying, with AI, the occupancy will go down. But in all markets, the Brussels market has always been qualified by some international investors as a bit more boring because more resilient, but resilience is also very positive, and we don't see anything related to that coming as we speak.
Operator: Our next question comes from the line of Vivien Maquet at Degroof Petercam.
Vivien Maquet: A couple of questions on my end. If I may start with the first one on the divestment target. Could you maybe share how much of this EUR 110 million relates to offices because I think that most of it is now under due diligence or has been completed. So I think that you have a good, I would say, idea on the share of Offices. Could you share it?
Jean-Pierre Hanin: Yes. Well, as we are only in February, as every year, the allocation between Healthcare and Offices that we have in mind in February might be quite different when we land at the end of the year, especially, as you know, that as far as Offices is concerned, everything is for sale. So to tell you that in EUR 110 million, there is 50% of Offices and DPN, which is more or less what we have in mind. Of course, the Offices divestment could be much more significant. So the guidance about allocation has to be taken with a bit of caution, especially when we are in February. I think around September, then the allocation becomes a bit more relevant.
Vivien Maquet: I understand. But if it's on due diligence, I mean, you have -- how much is Offices under due diligence there?
Jean-Pierre Hanin: Under due dil, let me give you...
Jean Kotarakos: Yes. You have Offices in due dil.
Jean-Pierre Hanin: I prefer not to give you the amount because we are talking of, I would say, not small assets. And if I give you an amount where we are still negotiating, we still don't want to basically leak information about how much we have in our accounts compared to the discussion we had.
Vivien Maquet: Understand. Then maybe another question on the first disposal you have completed to this date. Was there the nursing home in Brussels. I understand you cannot disclose information on the price, but just wanted to understand a bit the rationale behind it because last year, you mostly sold none in Belgium and here you are selling in Brussels. Was that...
Jean-Pierre Hanin: No. We have completed an asset rotation plan based on several criteria, real estate criteria, commercial criteria and then climate and energy intensity. And asset rotation is part of any core business as all business. And we also like to have asset rotation within the healthcare portfolio. And if you look at our track record in the past, it's consistent. So it's nothing more than executed a sound and well studied asset rotation plan. You should not see anything more than that.
Vivien Maquet: Okay. And then one last question on Europe, the others. Could you share your view on where we stand for the healthcare in Germany? How do you see the market? Do you see it as bottoming out? And do you see increasing opportunity for you, thanks to increased profitability of the tenants to commit to new projects there? Do you believe it's the right time to look at that market?
Jean-Pierre Hanin: Yes, I think you have to make a distinction between standing assets and development project. For development project, given the position of certain developer and so on, operators are thinking again about it and are studying it, but it might still take some months before you see a large portfolio of new assets being constructed. But again, depending on the geographies, we all know that South of Europe is quite dynamic. The U.K. is quite dynamic as well. So I think the overall climate is positive. Certain operators are looking again at growing, not necessarily by owning their real estate, but by looking at consolidation. So clearly, the atmosphere is more positive and more dynamic, especially with the, I would say, sharp need for infrastructure that has been highlighted during the COVID period. So we all know that there is a structural lack of infrastructure, which may differ from one country to the other, which made it a necessity in many of the geographies in Europe.
Operator: Our next question comes from the line of Veronique Meertens at Kempen.
Veronique Meertens: For me, some questions around the guidance. Maybe as a follow-up on Charles' question. So do I understand correctly that for '26, you do not expect further issues on delayed rental payments from some of these operators? And secondly, on the guidance, could you give some additional color on you being a net investor? Obviously, there's still some CapEx for the pipeline, but what is included in your guidance in terms of the other investments that you pencil in and how big of a share do they have in the rental growth for '26?
Jean-Pierre Hanin: Thank you, Veronique. First, on the guidance, remember, last year, the guidance was EUR 620 million, and we ended up with EUR 645 million. And you know us that's basically the way we usually approach things. So the EUR 645 million includes already many of the expectations we have regarding certain operators. So for those situations that are known to us, that's already included in the budget '26 based on the discussion we continue to have. About the investment, well, I think it will depend also about the future combination and how it will be played. You know that basically, we are confined to financing our investment with debt only. And we also want to have our LTV under control. And of course, the coordination with Aedifica is and will be even more important. So there are opportunities on the market. I think that also has been highlighted by Stephan in many occasions. But of course, '26 is a bit of a special year for Cofinimmo in terms of ability to basically harvest as long as the 2 companies have not been completely unified.
Veronique Meertens: Of course. No, I understand. But maybe then on those discussions with some of these operators that are struggling, can you elaborate on -- are those discussions around rent levels? Are those discussions around maybe changing to a different operator? Or what are you actually discussing with them?
Jean-Pierre Hanin: It's basically not about changing operators. It's understanding to what extent problems outside of healthcare are impacting the healthcare operation. Why? And what are they planned since the healthcare operations are sound, what are they planned to basically solve this issue. It's not related to healthcare. So it's not about ourself finding new operators because the operators or certain houses are in distress. So we are a responsible partner, but there must be a responsible also group. And it's more finding a win-win than any dramatic move (to be continued).
Veronique Meertens: Okay. So indeed, so it's not per se worries about the actual rent cover ratios of those specific assets?
Jean-Pierre Hanin: No, no, because we -- there has been a discussion, as you know, with [indiscernible] and all landlords in Belgium showed a certain we'd say -- I would say, flexibility to basically ensure the future. And this spirit try to be maintained when they are, I would say, a discussion with operators.
Operator: Our next question comes from the line of Steven Boumans at ABN AMRO ODDO BHF.
Steven Boumans: So first one is on the -- what is the EUR 12 million loss share in the result of associated companies and joint ventures. Could you give a quick background and especially tell us what we can expect for this line item for '26, please.
Jean Kotarakos: Steven, the loss in the associate is mainly strike in the press release. comes from some amount that we had to take regarding the development project in Germany. So it's -- we have published the loss of EUR 8 million in the press release.
Steven Boumans: Yes. And is that issue fully gone? So nothing to expect in this line item for '26.
Jean Kotarakos: It's a one-off for this year. And normally, we are on the safe side for [indiscernible].
Steven Boumans: Okay, clear. And then maybe on the healthcare investment markets for the potential investments that you see. Could you provide some background on the yields you are seeing? And do you expect to transact those investments and how that compares to, let's say, 6 months or 12 months ago?
Jean-Pierre Hanin: Well, I would say 6 and 12 months ago, you had not many transactions. So the few transactions that has been done at that time in terms of yield you could dispute whether they were representative because there has been some, I would say, a very attractive portfolio that has been sold some more. So it's very challenging to say, okay, yields have evolved compared to 12 months ago. I think that what is well appreciated is that the time where money was free with very low interest rate is over. This has been basically translated into the valuation of the various players. So which means that today, you start to see yields that basically reflect this new interest environment, which we believe is there to stay and not to go back to "good old days." We know that there are certain owners that are still dreaming that this come back. The liquidity is coming progressively because you don't have a lot of [indiscernible] seller. If you look at, I think, the larger seller of healthcare assets during the last 2 years has been [indiscernible] and you see the very impressive amount of divestments they have done with them as operators, which in the mind of certain people raise still a question mark, and they have done it at still a good yield. So for me, it's not necessarily that much a big evolution of yield. It's just that basically the dreamer of going back to the 0 interest rate environments are basically almost disappearing. And today, you see here that make more sense concurring this environment that we have today. And corresponding liquidity, more liquidity compared to, I would say, the last 2 years.
Steven Boumans: Okay. Clear. And to be [indiscernible] expect from what you see today that the yields on your book value reflect what of the deals that you expect to happen in '26, too.
Jean-Pierre Hanin: Yes, I think regarding the valuation, we are comfortable with what is happening today, yes.
Operator: [Operator Instructions] Our next question comes from the line of Frederic Renard at Kepler.
Frederic Renard: Just a follow-up on the office Polo. I just wanted to know a bit what is the percentage of leasing coming for renegotiation this year? How much have you been able to achieve and at which level of rent?
Jean-Pierre Hanin: We need to follow up on that because I don't have the information front of me, there is not a wall of refinancing. And usually, we secure the big chunk, but it should be very marginal. But we will follow up on that with [indiscernible] Frederic to give you more headline on this.
Frederic Renard: All right. And then maybe follow-up -- all right. Understood. Maybe just a follow up on the [indiscernible] discussion you mentioned that you were referring to. Just you mentioned that you had a good discussion, but do I understand that actually, you had a discussion already on your facilities and that you actually considered some rent relief. Should I understand that.
Jean-Pierre Hanin: Well, basically, there has been -- [indiscernible] has done bilateral discussion with all the vast majority, I would say, of the land lot in Belgium. And the basically focus was to have equal treatment for all of the Belgian landlord. So that was basically the rule of thumb for all this discussion. And to the extent that they were valid argument, the various Belgian landlords have shown temporary flexibility given the global relationship, but also based on recovery plan and measure to be taken by the operators themselves. So basically, the discussion were quite similar in order to ensure equal treatment.
Frederic Renard: Okay. And on [indiscernible], remind me, you have also some exposure in Spain, right?
Jean-Pierre Hanin: The exposure is very minimal in Spain, but I'm even not. It's -- let me -- now it's in France that we have 2 assets with [indiscernible]. And 2 in Italy, not in Spain. So you are going to a granulometry so I need to verify my note given the asset rotation, but 2 assets in Italy and 2 assets in France.
Frederic Renard: And there, the discussion...
Jean-Pierre Hanin: The discussion was [indiscernible] period, not [indiscernible].
Operator: Our last question comes from the line of Lynn Hautekeete at KBC.
Lynn Hautekeete: I have a follow-up on the healthcare campus in North [indiscernible]. So I'm trying to reconcile the movement on your balance sheet and the cash flows. So on Page 11 in your footnotes. You say that you had EUR 40 million investments in the fourth quarter of EUR 125 million, and that is the net result or a net amount of EUR 56 million and EUR 70 million coming from changes in participations. I'm just wondering that EUR 17 million, what exactly is that figure? Is it CapEx that was supposed to be spent and then did not go out because you sold the participation?
Jean Kotarakos: Lynn, I think it's a very detailed question. I can discuss that after the call, if you want. You can reconcile [indiscernible].
Jean-Pierre Hanin: We will give you a full reconciliation, yes, nothing to hide. Because it's -- technically, there are various steps. So it's -- we will give you detail on that.
Lynn Hautekeete: Yes, perfect. It's not an easy one. And then maybe second question is on the CapEx of the offices. I was just wondering, is that yielding CapEx? Or is it just part of refurbishments?
Jean-Pierre Hanin: Refurbishments, yes. Mostly refurbishments.
Lynn Hautekeete: Okay. And then maybe a third one, a quick 1 is on the headroom that you have on your facilities. So that's around EUR 1 billion, and you're not going to replace EUR 270 million of it. Is it possible that, that headroom goes down even further in the future because right now, it's quite expensive to keep the EUR 1 billion.
Jean-Pierre Hanin: The future is the combination with Aedifica. So I think we are all waiting that it becomes really to benefit from the combined combination. And you know that the combination will have a positive impact on the cost of capital, including on the abilities basically of our financing and what S&P also has said. So we don't do reasoning on a stand-alone basis for the future, but more on the combined and the news will be good in this respect.
Operator: There are no further questions at this time, so I turn the conference back to the speakers for any closing remarks.
Jean-Pierre Hanin: Thank you. Well, as usual, I will tell you that we are at your disposal. I think we are all looking at March 2 in our agenda. But in the meantime, if any questions regarding the past, don't hesitate. We have well noticed 2 follow-up that we will do regarding the question that we have raised to date. And of course, we will follow up on that. But if anybody has any other questions, always pleased to answer them. And you know us, you know how to contact and we will follow up. Thank you for your attention, and thank you also for those years of dialogue. This is not the end of the story. There is an exciting operation insight and for sure, the future leader of Europe in healthcare, they will be interesting times. Thank you, and we'll be in touch.